Operator: Ladies and gentlemen, thank you for standing by. During the presentation, all participants will be in a listen-only mode. Afterwards, we'll conduct a question-and-answer session. [Operator Instructions] Welcome to Avery Dennison's Earnings Conference Call for the Fourth Quarter and Full Year ended on December 31, 2022. This call is being recorded and will be available for replay from 4:00 PM Eastern Time today through midnight Eastern Time, February 05. To access the replay, please dial (800) 633-8284 or 1 (402) 977-9140 for international callers. The conference ID number is 2202-0690. I would now like to turn the conference over to John Eble, Avery Dennison's Head of Investor Relations. Please go ahead.
John Eble: Thank you, Frank. Please note that throughout today's discussion, we'll be making references to non-GAAP financial measures. The non-GAAP measures that we use are defined, qualified and reconciled from GAAP on schedules A4 to A10 of the financial statements accompanying today's earnings release. We remind you that we'll make certain predictive statements that reflect our current views and estimates about our future performance and financial results. These forward-looking statements are made subject to the safe harbor statement included in today's earnings release.  On the call today are Mitch Butier, Chairman and Chief Executive Officer; Deon Stander, President, and Chief Operating Officer; and Greg Lovins, Senior Vice President and Chief Financial Officer. I'll now turn the call over to Mitch.
Mitch Butier: Thanks, John, and good day, everyone. We posted impressive results in 2022 in the face of an extremely challenging environment. We delivered another year of double-digit EPS growth on a constant currency basis. EPS is up 40% from 2019 levels, reflecting our consistent ability to deliver year-over-year earnings growth, despite concurrent and compounding challenges. Both our Materials Group and Solutions Group delivered solid top and bottom line results last year, while driving further acceleration in the pace of Intelligent Labels adoption.  As you can see, we have changed our operating segments. We combined LGM and IHM to create the Materials group. Over the past few years, we've been leveraging more and more of the operational capabilities and technologies across LGM and IHM to enhance our ability to win in each business's respective marketplace. The combination of these two businesses is the next evolutionary step of this strategy.  As for RBIS, we renamed the segment the Solutions Group to better reflect the increasingly broader reach and ambitions of our solutions beyond Retail. Deon will provide color on segment performance in a moment. Both businesses delivered impressive results in 2022, especially considering the significant macro headwinds we faced, including sizable currency movements, pandemic-driven demand challenges in China, the Russian war in Ukraine and, of course, significant inflation and supply chain disruptions.  In addition to the unique challenges that the inflation and supply chain disruptions presented, this also caused an increase in demand volatility throughout the year. The high inventory levels downstream from us, which we called out at the start of the year, were built further midyear. Then as supply chain constraints began to ease and raw material inflation showed signs of moderating, inventories were reduced swiftly beginning in November. This trend continued into December and January.  Now while we anticipated the inventory buildup downstream from us to unwind at some point, the pace and magnitude of reductions was faster and greater than we expected and then we have seen in past corrections. Overall, while this put significant pressure on our financial results in Q4 and now in Q1 of this year, we see the reduction of excess inventory is a good thing as it positions our industries and business to return to a more normalized growth trajectory beginning in Q2.  That said, such a sudden decline in volume is indicative of patterns of previous macro slowdowns. We have been activating countermeasures accordingly. We have initiated temporary cost reduction actions, ramping up restructuring initiatives and paring back capital investments in our base business -- base businesses while protecting investments in our high-growth initiatives, particularly Intelligent Labels, both organically and through M&A.  Despite a challenging macro environment, we are targeting mid- to single-digit EPS growth in 2023, reflecting a soft Q1 driven by inventory corrections, followed by a second half run rate for EPS of more than $10. Our strong track record over the long term reflects the strength of our markets, our industry-leading positions, the strategic foundations we've laid and our agile and talented team.  Our playbook is working extremely well as we continue to focus on five overarching strategic pillars: to drive outsized growth in high-value categories; grow profitably in our base businesses; focused relentlessly on productivity; effectively allocate capital; and lead in an environmentally and socially responsible manner. As you know, a key element of our strategy to drive outsized growth in high-value categories has been our focus on Intelligent Labels, which we expect to be a $1 billion platform this year.  We continue to invest in this platform as we expect it to grow more than 20% annually in the coming years. This is a tremendous example of our strategy at work. We've refined our strategies over time, raising the bar for ourselves in the process to ensure we continue to deliver superior value creation for all of our stakeholders. We have a clear set of objectives and strategies focused on their mutual success. We're making great progress towards our 2030 sustainability goals and are on track to deliver our 2025 financial objectives, which Greg will walk through momentarily.  The ability of our teams to drive these strategies forward over the long haul and deliver these impressive results, including once again achieving double-digit EPS growth last year, is remarkable. So, I once again thank our entire team for their tireless efforts to keep one and other safe while delivering for all of our stakeholders. Over to you, Deon.
Deon Stander: Thanks, Mitch, and hello, everyone. As Mitch said, we delivered impressive results in 2022 in the face of an extremely challenging environment. I'll now provide more color on our segment performance. Materials Group delivered 11% organic growth for the year, driven by higher pricing and a low single-digit volume decline, excluding the impact of exiting Russia. Operating profit for the segment was strong, up mid-single digits ex currency as unprecedented levels of inflation were met with significant pricing actions to continue delivering strong returns in this already high EVA business.  Over the long term, Label materials volumes continue to grow at GDP plus, up 3% annually in 2022 compared to 2019. In the fourth quarter, Materials Group sales were up 2% ex currency and on an organic basis, driven by a mid-teens impact from higher prices, largely offset by a low double-digit volume decline. Following a period of material constraints earlier in the year, downstream inventories that began the year elevated were built up even further midyear. And the supply chain disruption eased and inflation abated, customers rapidly destocked as they began to optimize inventory levels in the fourth quarter.  On an organic basis for the quarter, Label materials were up low single digits, graphics and Reflective sales were up low single digits and Performance Tapes and Medical sales were up low double digits. Looking at Label materials organic volume growth in the quarter by region, combined North America and Western Europe were down mid-teens. Overall emerging markets were down mid-single digits, with China volumes down low single digits, and the exit of Russia lowered total Label materials growth by roughly three points.  Given the soft environment over the past few months and the expectation for moderating economic growth, we have been activating our cost-saving initiatives, both temporary and structural. We are focused on optimizing our cost structure and protecting the bottom line in this lower volume period while continuing to manage strong pricing discipline.  Given all these factors, we expect Q1 to look similar to Q4, anticipating roughly one to two weeks of inventory to be further reduced across the industry with destocking concluding in the earlier part of the year. Following the inventory correction, given the durability of our diverse and growing end markets, along with our market-leading position, we expect to rebound to GDP plus growth from Q2 onwards.  Stepping back, the combination of LGM and IHM not only enables us to fully leverage the capabilities of the whole business but strengthens our ability to win in the broader functional materials market, while also continuing to deliver EVA growth. Turning to the Solutions Group. Organic growth sales were up 5% for the year, driven by strong growth in high-value solutions and posted record margins, despite the impact of retailer destocking.  In the fourth quarter, Solutions Group sales were down 7% ex currency and 8% on an organic basis. The base business was down high teens organically, partially offset by mid-single-digit organic growth in the high-value categories. Apparel inventory reductions were broad-based across all channels in the fourth quarter, and destocking continued in January. In this segment, we expect destocking to continue through Q1 and into Q2 as retailers factor high inventories, muted holiday performance and lower sentiment into their near-term sourcing plans.  Similar to the Materials segment, we are activating cost-saving initiatives, both temporary and structural. We expect our apparel business to return to historic GDP growth in the second half of the year and for the Solutions segment to additionally benefit from the significant growth increasing through the year in our Intelligent Labels platform.  Turning to Intelligent Labels; enterprise-wide sales were up mid-teens on an organic basis in 2022. Momentum in this roughly $800 million platform continues to accelerate. This business has more than tripled in size over the last five years, averaging 20% annual growth on an organic basis. The strong growth over this time horizon has primarily been driven by apparel as we continue to drive further adoption of the technology, extend use cases and expand programs with major customers in this key end market.  And while we continue to expect apparel to be the largest volume in the coming years, we see even greater opportunity over the long run in other key untapped markets. In logistics, which is expanding from targeted applications such as special package handling, to broad-based use cases such as improving miss loads and routing accuracy.  In food, where we are seeing promising pilots in QSR and grocery, in use cases covering freshness and labor efficiency and in general retail, where the technology is being expanded beyond apparel. The benefits of our Intelligent Label technology and Solutions are clear. The increased supply chain and inventory visibility, lower cost and improved speed of operations, reduce waste and ultimately enhance the experience of end consumers.  As a leader in ultrahigh frequency RFID, we are extremely well positioned to not only capture these new opportunities but lead at the intersection of the physical and digital. To that end, we are continuing to invest in developing new applications and markets; adding new technologies, both physical and digital; increasing our manufacturing capacity, including investing more than $100 million in a new facility in Mexico for growth in the back half of 2024 and beyond; and expanding our team, the best, most experienced in the space.  Our strategies here continue to pay off. We remain confident this will be a $1 billion platform in 2023 and are targeting more than 20% growth in the coming years. Lastly, we continue to deploy capital in other high-value solutions. Signing an agreement in January to acquire Thermopatch, a business specializing in external embellishments with roughly $40 million in annual revenue.  In summary, we delivered impressive results in 2022 in the face of an extremely challenging environment. Inventory destocking is impacting our results near term, and we are making adjustments accordingly. I remain extremely confident in the underlying fundamentals and prospects of our business over the long run. And with that, I'll hand the call over to Greg.
Greg Lovins: Thanks, Deon. Hello, everybody. I'll first provide some additional color on our results and our performance against our long-term targets and then walk you through our 2023 outlook. In the fourth quarter, we delivered adjusted earnings per share of $1.65, down 14% ex currency compared to prior year, driven by a low double-digit volume decline due primarily to inventory destocking. For the full year, we delivered adjusted earnings per share of $9.15, up 11% ex currency, with organic sales growth of 10% as pricing offset a low single-digit volume decline. Our full year adjusted earnings per share was in line with the midpoint of our original guidance from the beginning of the year, adjusted for currency translation. For the year, we generated $667 million of free cash flow, and we invested $300 million on fixed capital and IT projects as we continue to accelerate investments in Intelligent Labels. Free cash flow conversion in 2022 was lower than we targeted, including higher-than-anticipated working capital driven largely by inventory. The high inventory levels include some strategic inventory builds in areas such as RFID chips. In addition, we still have some inventory we are working to optimize given all the supply chain disruptions throughout the year. We're clearly focused on this and expect to make strong progress as the year progresses.  Despite this challenge, our average free cash flow conversion over the past three years has been roughly 100% of GAAP net income, and we expect this to continue in 2023. Our balance sheet remains strong with a net debt to adjusted EBITDA ratio at year-end of 2.2x. Our current leverage position gives us ample capacity to continue investing organically as well as through strategic acquisitions while continuing to return cash to shareholders in a disciplined way.  During the year, we returned $618 million to shareholders through the combination of share repurchases and a growing dividend as well as deployed $40 million for M&A. Turning to our long-term targets. Slide 9 of our supplemental presentation materials provides an update on our progress against the long-term financial targets that we communicated in 2021. Recall, this represents our fourth set of long-term goals after meeting or beating our previous three sets. The consistent execution of our key strategies enables us to continue delivering against our targets with an overriding focus on delivering GDP-plus growth and top quartile return on capital over the long term. Through the first two years of the cycle, sales growth on a constant currency basis was 16% annually, well above our target and GDP, driven by strong volume growth, higher pricing and M&A.  Adjusted EBITDA dollars have grown 28% compared to 2020, with adjusted EBITDA margin of 15.1% in 2022. As always, our focus will continue to be the optimal balance of growth, margins and capital efficiency to drive incremental EVA over the long term. We remain confident in achieving our 2025 margin target of 16% plus as part of that EVA equation. Adjusted earnings per share grew 13.5% annually over the past two years, surpassing our target of 10%. And our return on capital was 17.4% in 2022 and in the top quartile relative to our capital market peers.  Given the diversity of our end markets, our strong competitive advantages and resilience as an organization to adjust course when needed, we're confident in our ability to continue delivering against these targets through a wide range of business cycles. Now shifting to our outlook for 2023; as Mitch and Deon commented on, we are starting out the year in a challenging volume environment as we continue to see destocking in the first quarter in both the Label materials and Apparel businesses.  We have been activating countermeasures and are confident in our ability to grow earnings for the year through a variety of environments. As we look at how we expect that to play out across the year, given the continued destocking, we expect the first quarter to be comparable to Q4 of 2022, which was $1.65 in adjusted earnings per share. Following Q1, we expect to see a strong rebound beginning in Q2 and moving through the back half of the year, with a second half earnings run rate of more than $10 annualized.  In the second half, we expect downstream inventories will normalized, China to be rebounding and our growth in Intelligent Labels will build as we move through the year as the new programs roll out in areas such as logistics. For these reasons, we expect significant earnings growth in the back half and also see a very strong trajectory as we exit 2023. For 2023 overall, we anticipate adjusted earnings per share to be in the range of $9.15 to $9.55.  To highlight the key drivers of the high end of our 2023 EPS guidance compared to prior year, we anticipate roughly 5% organic sales growth, with the majority from higher prices. We estimate restructuring savings net of transition costs of roughly $0.40 and another roughly $0.30 from temporary cost reduction actions. And we expect strategic growth investments of roughly $0.25, and we estimate net nonoperational items, headwinds from interest, currency and tax and a benefit from share count to be roughly $0.25 net headwind.  In summary, through this dynamic environment, we're pleased with the strategic and financial progress we made against our long-term goals in 2022. Despite the near-term challenges, we remain confident in our ability to continue to deliver exceptional value through our strategies for long-term profitable growth and disciplined capital allocation. Now we'll open up the call for your questions.
Operator: [Operator Instructions] Our first question comes from Ghansham Panjabi with Robert W. Baird & Co.
Ghansham Panjabi: Can you just give us yes -- can you just sort of elaborate on your view that the near term is largely inventory destocking versus something more broader in terms of recession? I mean you yourself are enacting a recession scenario plan. How do you -- what gives you confidence that this is purely more or less inventory destocking versus something more broader than that?
Deon Stander: Ghansham, this is Deon. When you look at the volume that we saw come out in Q4, largely because the inventory destocking, we see that trend also continue in January that we saw in both November and December. And we expect in our Materials business for that destocking to be completed largely by the first quarter. On the Apparel business, as I called out, we both see inventory destocking happening as we ran through the back half of last year and will continue in Q1 and into Q2 as well.  While we don't have as much forward visibility and also because of the Lunar Year, it's clear that retailers are also factoring in sentiment into their forward volume ordering plans as well. But we anticipate that by the second half of the year that Apparel business will return to its historic GDP growth rates. And then when you factor in our additional growth that we're going to get from our IO platform, the rebounding of China, we expect to be able to deliver above GDP growth rates in the second half of the year.
Mitch Butier: And Ghansham, just to build on that. It's also what we're hearing from the marketplace, our customers are talking about the fact that they had built inventory throughout the year leading up to Q4 as well as the end customers, CPG firms and so forth and the same thing on the Apparel side. So it's market Intel. It's comparing -- we have pretty clear links between our product consumption and demand relative to consumption of nondurable consumer goods, for example, and they definitely have disconnected to the negative.  They were a bit positive early in 2022, even the end of '21, which is why we called out that we thought there was some excess inventory in the system at the time, and that continued throughout the year. And then it's unwinding just at a much quicker pace than we traditionally see. So there's a number of vectors we're looking at triangulate it gives us a lot of confidence. This is a majority of inventory correction.  That said, we do expect and consumption to moderate a bit. You're already seeing it in Apparel with a weak holiday season. And as far as you're looking at the GDP outlooks for at least Europe and North America, they're modest to a slight recession.
Operator: Our next question comes from Adam Josephson with KeyBanc Capital Markets.
Adam Josephson: Mitch, just one last one along similar lines to Ghansham's question, which is, if you're anticipating conditions to get more or less back to normal in the second half, why they need to activate this recession scenario, if it's just a 2-quarter blip? And what exactly does that entail for you because if the economy gets back to normal in second half, will you still need to do that recession activation, if you will?
Mitch Butier: Yes. Well, I mean, as far as the recession activation, there's a couple of things. The structural cost reductions are not the recession activation, if you will, at the long -- part of our long-term strategy, as you know, to focus on productivity. It's a way we free up capital to invest more in the high-value categories, keep our base businesses competitive and profitably growing as well as to expand margins over time.  So I wouldn't look at the restructuring of that side. And as far as the temporary cost actions, part of those are when your volume environment is lower, you're having some dark days within plants to drive the way you balance your load, if you will, can drive some savings, and that's something that we're very focused on as well as belt tightening. And everybody should tighten belts in this type of environment, and that's just part of how we operate.
Operator: Our next question comes from George Staphos with BofA Securities.
George Staphos: Thanks for the details. I wanted to touch particularly on Intelligent Labels just given some inbound that we've gotten over the last couple of days. Can you talk at all to how much chip shortages may have constrained your growth, recognizing that Intelligent Labels is still growing very, very nicely? What could the incremental volume have looked like?  Had there not been shortages, what impact did it have on your margins? Could margins have been pick a range 100 points, 200 basis points, whatever better, how would you have us think about that? And last part of the question, and I'll turn it over. Can you talk at all to how much -- how important some logistics rollouts are in terms of your guidance for this year? Could they be incremental?
Deon Stander: Thanks, George. We don't believe that in 2022, our volumes were impacted by any part of chip shortages because, as the market leader, we had secured enough chip supply to ensure that we could deliver to all of our customers' expectations. Clearly, from a margin perspective, we maintained margins. There was some degree of chip inflation, and we've dealt with that through productivity, as we always do.  And as we look forward, the logistics is certainly going to be a big part of the second half of our growth during 2023. But I will emphasize that Apparel will still be the largest part of our business and will be growing during 2023 as well, George.
Operator: Our next question comes from John McNulty with BMO Capital Markets.
John McNulty: When you look at the severity of the destocking, particularly in the LGM segment, I mean, we've seen some data out there that kind of shows year-over-year 20%, 25% decline. I mean, certainly worse than we even saw in the financial crisis. I guess, can you explain how that's happening or why that's necessarily happening? And are we putting ourselves in a position now, given that it's so much worse than GDP in terms of the production levels, that there may actually be a restock where maybe people have cut even too deeply, just trying to focus on cash generation or what have you? I guess, can you help us to understand that a little bit?. 
Mitch Butier: Yes, John. So why -- first part of your question, I think it's a little bit of why a deeper decline that we've seen in past corrections, which you do have to go all the way back to the financial crisis to see that. The reason is basically because of the supply chain disruptions, people wanted to make sure they secured enough of the inventory for their own end demand and so there was much more safety stock in the system, one, two. Timing of significant inflation, we were raising prices significantly and people wanted to get in the queue and basically order and build inventory early to avoid the next round of price increases given we were actually in a stage of basically raising prices every couple of months or so in each region. So that's what drove the increase.  And then both of those factors basically started to stabilize at the same time. And so people no longer needed the excess inventory, and they were starting to build it down. So that's the biggest reason for why you're seeing a shift here overall.
Operator: Our next question comes from Anthony Pettinari with Citigroup.
Bryan Burgmeier: This is actually Bryan Burgmeier sitting in for Anthony. With some inflation buckets moving lower throughout 4Q, what do you assume for price cost in the Materials group this year? Do you think Avery would be able to potentially capture a benefit from lower raws? Or would that be passed along in full to customers? And separately, just apologies if I missed this. Did you provide a growth target for Label this year? Is it fair to assume that it could fall a little bit short of that 20%, just given the headwinds in apparel?
Greg Lovins: Yes. Thanks, Bryan. So on the inflation question, I think sequentially from Q3 to Q4, overall net price inflation was a relatively immaterial impact. We had a little bit of sequential price Q3 to Q4 from some of the actions we've been taking as we move through the back half and a little bit of sequential inflation. I think I talked about last quarter, we expected a little bit of sequential impact from paper. At the same time, we had some sequential benefit from the films and chemicals, a bit of deflation there.  So, as you look into 2023, sequentially, we don't see a lot of change there. Still a little bit of pressure on specialty papers, just given capacity and what's happening in the marketplace there from a specialty paper perspective and maybe a little bit of sequential benefit in films and chemicals just like we had in Q4. When we look at overall price inflation, we have a carryover benefit of price, carryover impact of raw material inflation. We also have a bit at or above historical levels of wage inflation.  We've got some utility inflation where we had a little bit of a benefit last year from prices we had locked in for part of last year as well. So we look across that whole basket of raw materials, wage inflation, utility inflation. We expect roughly neutral impact year-over-year from that perspective, all those things included.
Deon Stander: And Bryan, on your IL question, we will be growing more than 20% this year. Recall that we've said, we are very confident in this being a $1 billion platform in 2023, and we see growth in Apparel, and we see significant growth in our logistics platform during this year.
Operator: Our next question comes from Mike Roxland with Truist Securities.
Mike Roxland: First question, just I know you mentioned, Deon, just now in response to the last question about more than 20% growth in IL. But with respect to IL adoption, as global economy soften, companies are increasingly laying off employees, could that be a headwind as companies look to spend? Or alternately, really be a benefit as they look to increase efficiency and productivity and the like?  And then my second question is just in terms of China, with Chinese government using a strict Zero COVID policies, obviously, that's been last year. I think, in April, it was a $10 million headwind. Could that actually serve as a pretty big tailwind to you as things normalize in China?
Deon Stander: Yes, Mike. In answer to your first question, it was the latter. We see during times when things are more difficult for brands, retailers and customers that they look to improve their automation efficiency. And this technology that we have really plays into the heart. It reduces cost, labor -- improves labor efficiency, provides visibility throughout the supply chain. So we see that as an accelerant and not a barrier to adoption of our Intelligent Labels platform.  As it relates to China, clearly, we saw in 2022, the impact of the COVID policy playing out in the country. And what we saw, as I said in the fourth quarter was that China was down low single digits. That trajectory started to change. We believe that post the COVID change, we see China returning to its normal or slightly above GDP growth said. And we see that as part of our ongoing second half growth that both Mitch and Greg have called out as well.
Operator: Our next question comes from Jefferies Zekauskas with JPMorgan Securities.
Jeffrey Zekauskas: For the nine months, your Intelligent Labels were up 20% year-to-date, and they're up 15% for the year. So that means in the fourth quarter, they grew 0. And you're expecting the first quarter to be like the fourth quarter. So can you talk about what happened in growth in Intelligent Labels in the quarter? Is it likely to be similar in the first quarter? 
Deon Stander: So Jeffrey, from an IL perspective, yes, we grew 15% last year. And in the fourth quarter, we grew -- sorry, mid-single digits in the fourth quarter, reflecting the impact of destocking, particularly in Apparel. And as I said, we anticipate the destocking to continue in Q1. But as we ramp through the year and that business returns to its historic GDP growth, we see a number of factors come into play that helps us get to and we have conviction around our $1 billion platform.  Firstly, the Apparel business will be in growth during next year as both the business rebounds and further adoption in retailers as well as further use case extension such as loss prevention come to bear in new programs. Secondly, as I already called out, we're going to see a significant ramp in our logistics program as we go through the second to the back half of the year, and that will add to that. And finally, we continue to see good traction in a number of our food pilots that are also adopting with an increased frequency as well.
Greg Lovins: Yes, Jeff, on the raw material side, we're up for the year in 2022, a little more than 20%. And in Q4, that would be kind of mid- to high teens rate versus prior year. So overall, for the full year, over 20%. And last year, in the fourth quarter of 2021, we still had a net headwind between price inflation than is adjusted as we look Q4 versus prior year.
Operator: Our next question comes from Josh Spector with UBS Securities.
Josh Spector: Just a couple of follow-ups, if I could. With depth the destocking that you're seeing in the base labels, has there been any change in pricing in terms of competitive dynamics in that market? And then on the RFID side, you talked about chip availability last year. Do you have availability or secured your needs for what you expect to happen in later this year? And are chips inflationary or deflationary for your cost stack over the next 12 months?
Deon Stander: Josh, let me address your second question first. We have secured all the chips that we need for this year and into next as well -- sorry, for 2023 and into 2024. And the market has been slightly inflationary, and we're adjusting, as I said, based on both productivity and pricing as we move forward. In terms of destocking, just repeat your question for me, Josh.
Josh Spector: Question on is destocking was having any impact on competitive pricing dynamics within the base label business?
Deon Stander: We don't see that at the moment, Josh. Historically, as the market leader, we maintained fairly strong pricing discipline. And we will respond if there is pricing changes in the market. But typically, we tend to make sure our discipline hold is strong. And if you also remember during the inflationary period, Josh, we tend to use surcharges the first start in how we manage pricing. And as deflation starts to occur and if it does occur, those are the things that first start to roll off.
Operator: Our next question comes from George Staphos with BofA Securities.
George Staphos: I'll try to get them all in here and turn it over for the rest of the call. So first of all could you talk at all to what your customers say their inventories grew to relative to normal at the peak of the inventory build, where customers in your key categories saying their inventories were double what they normally have triple, half -- well, obviously not half, but somewhere in that range between what would you say there?  Secondly, as we think about logistics and project out, your market share and the market growth you've talked about in the past, could logistics alone be $1 billion plus in revenue by 2030? And then last, Deon, any comments on how Vestcom is doing and how that's adding or not relative to your expectations?
Mitch Butier: Thanks, George. Yes, so I'll start off. So as far as what our customers are saying around inventory levels, a couple of things. One, as you know, we have many customers, particularly on the material side. And so there's a lot of anecdotes, but we were hearing definitely a range of two to four weeks of excess inventory. So there was quite a bit of build overall. And on the Apparel side, the end customers not -- I mean, you've heard -- you can read all the headlines of what they're talking through, but they definitely have quite a bit of extra inventory and even entire containers full that they were -- said they're just waiting for the next season to unload at the next season.  So quite a bit of inventory, which is that's what our customers are telling us and what we're all seeing in the headlines, and I think what we all know on the Apparel side. If you look at the actual hard data of inventory levels within Apparel, it's actually dropped down a bit from where it was pre-pandemic. So a little bit of a disconnect between what the data says and what we're hearing anecdotally, but we definitely ourselves know that there's excess inventory there.  As far as logistics, I think your question is with the growth and the opportunity we see, how big can logistics be specifically can it be $1 billion by 2030. Deon, do you want to take that one as well as a follow-up?
Deon Stander: Yes, George, you can see the scale of what we believe this initial phase of logistics adoption will do for us in our results overall and our drive to get to $1 billion business during this year commitment to that. And as you know as well, Logistics segment is highly concentrated. My sense and belief is that as the technology continues to resonate with one or two customers, I think it will become a de facto mechanism for operating as a logistics provider around the world and if that should happen, then I believe that this should be a $1 billion-plus business by 2023. As it relates to...
George Staphos: 2030.
Deon Stander: 2030 -- sorry, 2030. As it relates to Vestcom, George, the business continues to perform very well. The team have added enormously to our capability and providing great access to the grocery and retail market. And in addition, it's also a fairly consistent, stable business and ensure that portfolio of our solutions businesses becomes more robust through cycles as well.
Mitch Butier: Yes, the position -- performance and outlook are ahead of our acquisition case.
Operator: Mr. Butier, there are no further questions at this time. I will now turn it back to you for any closing remarks.
Mitch Butier: All right. Well, thanks, everybody, for joining us today. As you've heard throughout the call, we remain confident that the consistent execution of our strategies will enable us to continue to meet our long-term goals for superior value creation for all of our stakeholders. Thank you all.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line. Thank you.